Takayuki Yokota: I would like to present the 2023 First Half Results. First, please refer to Page 3. This shows the key headlines for the first half of 2023. This quarter marked good performance continued from the first quarter. The like-for-like net sales, excluding the impact from FX and all business transfers, was an increase of 9% year-on-year. Japan steadily recovered in mid- to high price range with strong new product launches, capturing the market recovery. China grew both in online and off-line channels as well as Americas and EMEA remaining strong, driving the overall growth. On the other hand, travel retail sales decreased due to retailers' inventory adjustments associated with market normalization of focusing the business model to travelers and also delay in recovery with Chinese travelers. By brand, a global brand SHISEIDO, Cle de Peau Beaute, NARS and Drunk Elephant experienced outstanding performances contributing to the overall growth. E-commerce sales ratio was 34%. The 618 promotion in China realized growth above the market in all platforms contributing to the growth of global EC. Also, the great performance of Drunk Elephant with high e-commerce ratio drove the growth. Core operating profit was JPY28 billion, an increase of JPY10.5 billion or positive 60% year-on-year. Factors such as the sales increase through enhanced investments to brands and innovation, cost management and FX impact from yen depreciation contributed to the increase in profit. For the first half performance, both net sales and core operating profit exceeded the initial forecast. Also, the transfer of Kuki Factory was completed on April 1. Next is Page 4, the P&L summary. Core operating profit was JPY28 billion, an increase of JPY10.5 billion year-on-year. Operating profit was JPY13.6 billion, a decrease of JPY3.3 billion. This was due to the loss associated with the Kuki Factory transfer in nonrecurring items. The profit attributable to owners of parent for the quarter was JPY11.8 billion, minus JPY4.5 billion versus last year. EBITDA was JPY53.2 billion, an increase of JPY10.2 billion. The EBITDA margin was 10.8%. Next is Page 5, performance by brand. Global brands, Shiseido, Cle de Peau Beaute, NARS and Drunk Elephant contributed significantly to the overall growth. Shiseido and Cle de Peau Beaute grew in all regions, except for Travel Retail. The strong growth was driven by new innovative products and brand enhancement initiatives such as effect and efficacy appeal, capturing the strong performing trend of the prestige market. NARS continued to grow its sales with the light reflecting foundation, the global hit product launched last year, along with the new launches this year, capturing outstanding performance. Drunk Elephant is continuing its strong growth momentum as well. On the other hand, the Asian brands, ELIXIR and ANESSA performed flat year-on-year. ELIXIR continues its double-digit growth in Japan, but is a minus in China in travel retail. ANESSA grew in both Japan and China, however, was offset by the minus in Travel Retail. For ELIXIR, the renewed lotion and emulsion in Japan last September is planned to be launched in China in August to aiming for recovery. In terms of other brands, it's experienced negative growth, especially in China and Travel Retail. However, we are strengthening initiatives to create new hero products. The fragrance business continues to perform strong. Next is Page 6, the trend of net sales. The second quarter captured double-digit growth in net sales on a like-for-like basis with positive 10%. The negative in travel retail was offset by growth in all the other regions. The big change here is that China turning to a high growth of 20% in Q2 from the minus it experienced in Q1. Next is Page 7 about the Japan business. First, the market situation is steadily improving. In terms of the local market, the low and high price range drove the market growth, showing continued recovery with low single-digit growth. On the other hand, mid-price range stayed flat year-on-year. When you compare the overall local market to 2019, it has continued double-digit decline since COVID-19, but the minus has shrunk to a single digit in Q2, slowly, but surely, the market is steadily recovering. The inbound market recovered further from Q1, realizing higher growth rates in Q2 month-to-month. To recover fully to the 2019 level, we'll still take time, but we are observing the recovery in number of Chinese tourists to Japan each month. In such environment, the Japan business for Q2 steadily grew the number of loyal users, significantly expanding the share as a result of concentrating innovation and marketing investments to the focused categories of core brands in mid- to high price range. The low price range continues to lose share, but the significant market share expansion in our core competitive area, the mid- to high price range, drove the growth in overall share. The consumer purchase for Q2 grew by low teen percentage overall. The local was positive high single digit and inbound grew more than 30%. For the local performance by brand, Cle de Peau Beaute was in the mid-teen percentage. SHISEIDO was in the low teen percent, both continuing to grow far exceeding the market trend. Product enhancements through innovation and the timely launch of point makeup capturing the recovering demand contributed to the growth. For ELIXIR, the brand renewed its brightening line this February, a continued renewal since last September. This quarter, the brand experienced a growth of low teen percentage, capturing strong growth with share expansion. Furthermore, ANESSA capture the demand and opportunities to go out more, accelerating its growth even though the sun care market is experiencing a shift to low price range trend. Also in the first half, many of the brands innovation was highly acknowledged by consumers and beauty journalists receiving numerous beauty awards. Next is Page 8, the China business. In terms of the China market, there was significant recovery as a rebound from the lockdown last year in off-line channel. The e-commerce also experienced strong growth. The growth rate in last year's Double 11 and this year's International Women's Day was stagnating, but the 618 promotion accelerated its growth which was over 20% in all core platforms. Shiseido's consumer purchase also marked strong growth of low 20% in Q2. The offline channel captured a growth of high 20% for the quarter, driven by the enhanced storefront experience as part of the continued brand equity enhancement for growth. In the e-commerce channel, we continue to avoid price-dependent promotions, yet was able to capture growth that outperformed the market and expanding share in all core platforms. By price range, the high price range, especially the high prestige continues to perform strong in Q2. Cle de Peau Beaute grew over 40%, and Shiseido grew by high 20%. There is no change in planned strategy for the second half of the year. We will enhance investments in the off-line channel in line with the recovery of consumer traffic. Along with that, we will continue to suppress price-oriented promotions and execute appropriate resource allocation for sustainable and profitable growth. Next is Page 9. Travel Retail was weak, but strong growth continued in Europe, the Americas and Asia. In both Europe and Americas, market growth in all categories continued, and we did drill. Drunk Elephant, NARS and SHISEIDO led overall growth. The Travel Retail business remained sluggish due to the continued adjustment to distribution inventories in response to the return of traveler-centric business model and to slow -- and the slow recovery of Chinese tourists and South Korea as well as tightening regulations in Hainan Island. We were also affected by these factors resulting in negative growth for the company as a whole. We also saw a recovery in Taiwan and Asia Pacific, which are negative growth in first quarter and a shipment basis and maintained double-digit growth overall due to strong growth in NARS and Drunk Elephant by brand. Next, Page 10 is the cost to sales ratio. The cost of sales ratio for the second quarter was 25.2%. This was an improvement of about 4 percentage points from 29.4% in first quarter. This is mainly due to the impairment loss and the transfer of the Kuki plant in the first and the fact that the Kuki plant will no longer be supplying personal care products in the second quarter. In addition, the year-on-year growth in the first half was steady, about 2 points due to a favorable turnaround in the product mix following the business transfer, improved productivity resulting from the shift to in-house production and the easing of share soaring distribution costs. Next, Page 11 is the core operating income by segment. Japan improved due to an increase in marginal gain on higher sales. China also improved significantly due to a marginal gain and on higher sales, the return to profitability. Americas improved due to increase in marginal gain on higher sales. Europe reported a decrease in profit, mainly due to the impact on brand transfer despite a marginal gain due to higher sales. Travel Retail reported a decrease in income due to a marginal gain from lower sales. Other adjustments, the margin gain decrease due to lower internal sales was offset by a decrease in elimination of unrealized income due to inventory reductions, net income increase. Next Page 12. We will discuss our initiatives to further accelerate growth in the second half of the year in our Japan business. We expect the market will recover steadily in the second half of this year and all of our strong mainstay brands in the mid- and high-end price range, and we will aggressively strengthen products and marketing through innovation in all of your mainstay brands. In particular, when we focus on the Cle de Peau Beaute, SHISEIDO and ELIXIR, which performed well in the first half of the fiscal year, we will continue to strengthen their product lineups, including the launch of new products that you have already seen and in particular, we will with ELIXIR, finally, we are able to get on the growth trajectory. In September, we launched a wrinkle cream, which was the overwhelming #1 share of the market. And in fall, we will launch our new product, ELIXIR. We will have a limited addition to commemorate the 40th anniversary. And we expect that selection and concentration of brands and product lines will improve profitability and all of our innovative products in the second half of the year will be in the high price range. Next, Page 13, I will explain initiatives in China in the second half of this year. Global trends in Chinese consumption, particularly in China and travel retail are changing dynamically, and it is of utmost importance to respond with a sense of speed. In the prestige market in China, we are making to -- work into accelerate growth and expand our presence in Chinese market. And we lost our market share in the first quarter, but made a significant turnaround in the second quarter and succeeded in increasing our market share in the second -- first half of the year as a whole. The key is the success of strategic investment allocation with an eye on growth areas and accurate understanding of consumer trends and agility in the market, the strength of high-prestige and efficiency functional products continues to be strong. In the second half of this year, we will continue to win in this growth area and aim to expand our market share through communication and push our strengths of advanced technology. From the perspective of marketing ROI efficient and effective use of promotional events is also a key point. Well, policy moving away from excessive discounting remains unchanged. We recognized a 618 and Double 11, our shopping festivals that customers look forward to, we will continue to strengthen our CRM, which has already yielded positive results by effectively utilizing events to efficiently acquire new customers and then following up with the personalized communication to encourage repeat purchases and establish customers as loyal shoppers. In the second half of fiscal year, we will continue marketing to high performance, high effectiveness categories and mainstay brands, as shown in the site, and we will also strengthen marketing activities in the premium skin care brands, ELIXIR and [Indiscernible] to return growth. And our presentation on Page 14 with the evaluation of the first half of the year and the current market environment. In first half, we achieved a social -- solid local growth in Japan through brand investment, innovation and gained market share in the mid- to high-end price range, which is our focus area. In China, brands have been strong and we increased the market share, while promoting investment in brand and value communication from price-oriented promotions. As for the global brands such as Shiseido, Cle de Peau Beaute and Drunk Elephant achieved high growth rates. As a result, both sales and core creating -- operating income exceeded initial expectations in the first half of the year, but the recovery of Chinese travelers. And in the retail business in Korea in the second half of the year was not as strong as initially expected. So we -- however, we are leaving the full year forecast unchanged in view of downside risks in the second half, and such as the delayed recovery in Chinese tourists and Korea and also the Chinese consumers as a whole, we will further strengthen our cross-border strategy, which we have been implementing to date and offset the downside risk in Travel Retail by accelerating growth in China. This is all from me. Thank you.
Unidentified Company Representative: Now we will have Mr. Fujiwara, the President and CEO, to present to you about Japan business transformation. Mr. Fujiwara, please?
Kentaro Fujiwara: As Mr. Yokota has just explained, the first half of the year has shown good performance. Yet the current market situation continues to show uncertainties. Therefore, in order to increase [Indiscernible] certainty to achieve the midterm business strategy that was announced in February with a target of 12% in 2025 and 15% in 2027, we must further accelerate the speed of strategy and reform execution. In order to achieve the midterm plan, we have proposed these strategies. For the China business, as Mr. Yokota has explained, it is important to respond with agility to a quickly changing market and take bold measures to take appropriate action in order to maximize the Chinese consumers' consumption globally. On the other hand, the biggest key to reform is to rebuild earnings base by bringing back growth in Japan. And today, I would like to share with you my determination for the Japan business reform. After I have taken the role as COO, I spent 6 months in learning and deepening my understanding about the Japan business. Through multiple sessions internally and with business partners, I deepen my understanding of the business structure, looked into the challenges and issues myself and held further individual sessions for better understanding. This process was very important to understand the core issues and to understand what is really effective and what, in fact, are the truly necessary actions. Based on this, the prerequisite to keep in mind is that Japan is not a growing market. Therefore, we need to grow by taking share from other players in the market. In order to do so, we need an organizational structure where we can be agile to react quickly to further meet the needs of consumers. And with more sensitivity to consumer behaviors. The COVID-19 pandemic impact was, in fact, a good turning point. We did not have inbound sales experiencing negative growth, exposing that we cannot raise profit with our existing business model. As I visited the stores, it was great to be able to confirm that we have many employees that have a sense of urgency to the current situation, have expectations for reform and with passion for growth. However, the organization in Japan is seeking to respond to the market change, whilst continuing to carry on the legacy from the past. Therefore, there is not enough prioritization of strategies, slow in response speed and complex countermeasures. I believe that the Japan business model must start from the needs of the changing market and purchase behaviors of the consumers. And in order to do so, Japan needs to redesign the business model break away from the existing business practices and internal rules to implement fundamental business model changes. The P&L issues must be addressed as well. As a result of adapting to new market changes such as digital, while keeping existing ways and rules, the number of brands, increasing digital cost and complex operation structure to operate the diverse channels and brands have created inefficiencies and heavy fixed costs. We must face the reality, capture the opportunities to execute the transformation for the future leap forward. The theme of this reform is self-innovation. Looking back at the Shiseido history, the company has developed through innovation through self-questioning and self-denial. As the market is recovering from the COVID pandemic, we must create an organization that can win while strengthening the brands with the consumer and market perspective. I believe that self-innovation is what creates lasting growth and development. If we do not change now, the existence of Japan business is at risk. That is how strong my sense of urgency is, is to the current situation. Therefore, myself, the Global President and COO will be the Representative Director Chairman of Shiseido Japan, effective September 1, 2023. I will lead the transformation myself. I have decided that I have to do this and should do this based on the level of reform needed, the size of challenges, and the necessity of speed. Mr. Tadakawa will continue as President and CEO of Japan, and we will work together as a team. We will continue the fundamental improvement of profit structure with these 3 pillars of reform in order to achieve the 2025 core operating profit target of JPY50 billion. Now I would like to explain about the details. First of all, we will transform the business model to a consumer-centric business model. We will review the consumer purchase behavior and resource allocation to convert the business model to a profitable business model. We would like to further strengthen the business model by elevating the brand value and improving profitability. While proceeding with efficiencies through digital, we will secure necessary enough investments for the brands for sustainable growth and to expand the consumer base by stronger new products. Also by maximizing brand value and product innovation, we will transfer the high added value to the pricing. This will be the strategy for the prestige business. As for the premium business, we will be focusing on strengthening self-selection purchases. We will do further analysis of consumer purchase behavior to design the consumer decision journey from meeting to purchase with a consistent and strong communication. Through that, we will create an efficient data-driven business model. Shiseido has a rich consumer data and digital capability that can appropriately leverage the information, which should allow us to propose value As for e-commerce, it is a very high profitable business with high growth opportunity. So we would like to actively invest in e-commerce to grow the EC sales ratio to about 30% level. Also, we want to organize the channel to area perspective. A structure that has continued for 100 years, the historical system cosmetic business model needs evolve to match the modern business. To provide product and purchase experience that matches the modern consumers, we need to evolve this historical system cosmetic business model to maximize the value to consumers and our business partners. For the sales organization, we will shift from channel-based model to an area-based model. In each of the areas, people react differently and people travel differently. So in the conventional ways of the channel perspective, the allocation of investment is difficult or we can lose business opportunities. And so if we can reallocate resource and also delegate some of the decision-making to the areas, we can do a better and more fit appropriate resource allocation to each of the areas. And even more than what we have been doing, we would like to proactively work hand-in-hand with the retailers with strategic partnerships. As -- in order for the retailers and the manufacturers to have a strong partnership, we want to leverage the value creation as partners for new opportunity creation. In the Japanese market, there are more brands and SKUs than any other regions. However, looking at the rate of return by brand, there are some brands that are to contribute to earnings with little or no investment. Therefore, it is not a simple matter of reducing the number of brands to improve profitability. We should clarify the mission of each brand and make investments make more clearly and shift its marketing activities from one brand fits all approach to a more focused approach to improve investment efficiency. The mission of the global Asian brand group is to lead medium to long-term growth through brand-based activities created on [BS, CPB, EL and AM] and to ensure stable growth and profitability of the business. Through brand value-enhancing investments, product innovations and in-store brand experiences, the group will enhance functionality and emotional value of its brands to achieve growth that exceeds the market. Global brands account for more than 40% of sales in Japan, but the company aims to raise this to the 70% level over the medium to long term, driving improved profitability through a better mix. Now focused product on strategy for local brands in Japan, and we'll focus on product strategy for local brands and product based operations quickly to grab market needs and achieve growth. Focusing on operation for [Indiscernible] products will improve investment efficiency and profitability and improve the SKUs and numbers. We will reduce number of SKUs. The shift to profitable growth described so far will lead to reduction in fixed cost. By clarifying the brand mission, changing the growth model to a consumer-driven business model and allocating investments from area perspective, the company will shift to a simpler operation in which each action will be a bold operation. As a result, efficiency will increase and fixed cost can be rationalized. Specifically, logistics costs are reduced through reduction of return goods and efficient delivery of promotional materials. Data-related expenses will also be consolidated to reduce outsourcing costs. In addition, while the number of sales offices has already been reduced by half, the company will consider reorganizing other offices and reviewing directly managed stores. In addition, back office structure that supports operations will be streamlined and cost synergies that will be pursued for operations that overlap with headquarters to compensate for the headcount that will naturally decrease. And as for over-the-counter human resources, the company will continue to pursue the traditional approach of hiring beauty consultant personnel and maximize the amount of time spending in contact with customers by shifting from the [Indiscernible] system or waiting for customers at the storefront and serving them. In addition, the company will maximize the time with the customers to attain the growth in a sustainable manner. And we will also consider to build the global human resources development. And also, we would like to aim to maximize the productivity of both back office and in-store human resources by providing opportunity for rescaling, we will also make effective use of the early retirement system to encourage employees to build carriers and are not limited to Shiseido -- that are not limited to Shiseido. In order to lead these reforms, it is essential to reform the organizational climate within the company, organization that have -- that had difficulty achieving growth due to the slow recovery of COVID have been hesitant to change and are now ready to take on new challenges. And we will eliminate all the boost remain in the company and create a corporate culture that encourages employees to take on challenges for the future, a culture in which self-innovation, self-improvement and the corporate culture in which employees can take further challenges. And we would like to shift to the risk-informed and innovation-driven organization. And as necessary, we think that simplified discussion within the company and also the speedy decision will be necessary, and we would like the next-generation leader to lead the way of the reform. And we would like to be actionable or closer to the market at making it simple to come to a decision. And we would like to start the new organizational system next year. And by myself working as the Chairman of the Shiseido Japan, the global Chief Innovation Officer. Mr. Okabe will be the top, and she will be the Global Chief Marketing Officer. And also -- he will also be the Senior Vice President. The aim is to have the sense of speed to be closer to the consumers, in terms of the product development and brand and R&D. And Mr. Okabe will be supporting being part of the Japan marketing strategy and Japan marketing team and Mr. Okabe together drive the reform in Japan. And in order to steadily pursue these changes, including reform, we have now selected the Chief People Officer, which will be later announced. And by strengthening the headquarter structure by 2025, we will complete the reform in Japan so that we will establish the steady and stable earning power with the core business profit level of JPY550 billion, so that we will build a positive cycle for Shiseido Group to keep taking on new challenges, and we will make sure we will go there, get there. And this reform for Japan business is my own idea. So I, myself, will act upon it, and I have a strong determination to complete it. And this [Indiscernible] for reform have made a suggestion and work with [Indiscernible], CEO and our Board of Directors with the share the sense of urgency and would like to -- we are sharing it with the full understanding. Now we'd like to take questions and please mention your name and association. And we will take the second round of questions [Operator Instructions]. And [Mr. Sermon] will be read out your questions and we would like to prioritize on the questions from the floor. Now please raise your hand when you have questions.
A - Unidentified Company Representative: I would like to point to the person with the green scarf.
Akiko Kuwahara: From JPMorgan. My name is Kuwahara. So in terms of the performance and the new strategy, the cascade of the new strategy, if I could ask further details of the strategy. So first half core OP exceeded expectation, but to what level, in what region, especially Japan, the Japan exceeds expectation for core OP, but even with that, Q2 still has a loss. So for the full year, I think you were looking at 16% for the full year growth rate. So from that, it looks like you're still behind. And if that is the case, then the current situation, even if you can achieve the 16%, is it possible to resolve the negative in Japan or the shortage in Japan? And the fixed cost reduction, is that going to happen in this fiscal year as well? So these are some of the specifics that I would like to confirm with you today.
Takayuki Yokota: First of all, for the Japan business, first half, the local sales had exceeded our expectation. Inbound was slightly behind. So that is where we are right now, but May and June, we're starting to see an increase. And as for June versus last year, the target is 70% versus last year. But at June level, we're kind of exceeding that pace. So if we continue at this pace, we can probably catch up for the full year is what we are thinking at the moment. So for the profit, yes, we are exceeding the expectation. So overall looking Japan included the local sales, which we are focusing on, so the local sales and profit, it is still negative, but it is exceeding the plan as we speak now. And in the second half, we are to accelerate the growth and that's local and inbound, if we can achieve what we assume to happen in the second half, we should be able to achieve the target.
Akiko Kuwahara: In the first half about how much are you exceeding the forecast? You can be specific to Japan or overall?
Takayuki Yokota: About profit, okay? About profit, about JPY1.5 billion. I believe it was about JPY1.5 billion.
Akiko Kuwahara: Overall?
Takayuki Yokota: First half, Japan was JPY1.5 billion, exceeding the expectation.
Akiko Kuwahara: What about the overall?
Takayuki Yokota: For overall company is JPY10 billion, exceeding what we had expected. And the big contributor to that is China.
Akiko Kuwahara: So then the fixed cost reduction, that's not something that will happen in this year. It will be for the next fiscal year. Is that correct?
Takayuki Yokota: Even in the first half, Japan -- within the Japanese Japan business, we do have a savings impact of JPY2.5 billion. And that's with the inventory reduction and making the logistics more efficient and the headcount reduction by natural reduction, and that is giving us a JPY2.5 billion in sales. So if you look at the increase in the profit, to the growth of the top line, the marginal profit. I think the bottom line, we're able to bring reduce the costs.
Akiko Kuwahara: One last thing. So if that is the case, then the second half will be about the same level or will accelerate and will further accelerate in the next fiscal year? What I mean is the fixed cost reduction in Japan.
Takayuki Yokota: Yes, just as Fujiwara has mentioned, we are doing the fundamental review of these fixed costs. So the impact from this fundamental review of fixed cost is not yet included so much in 2023 is what we expect. When we'll actually see the fruit of the fixed cost reduction is 2024 to 2025.
Kentaro Fujiwara: Yes, that is correct. So -- the Japan business had a negative performance last year. And we've had many structural reforms, cost reductions, and that's something that's continued, and we're still seeing the impact from that, which we have been working on continuously. But as I have been looking for, as I said, did my research in the 6 months, there are areas that needs to be accelerated in speed, and that is why I made this presentation today. And as for that, I think we'll see more of the impact or effect of that from 2024. We are planning to do further big reforms too. So the full impact of that will probably be for the JPY50 billion -- to achieve the JPY50 billion in 2025. So that's kind of what we're aiming at in terms of the timing.
Unidentified Company Representative: Now moving on to the next question. Lady with a grey jacket.
Wakako Sato: Sato from Mitsubishi UFJ Morgan Stanley Securities firm. Simple question. Full year revenue plan in Japan 16%; and the Travel Retail original forecast. And in comparison to plan, have you not changed from the full year forecast? And also the Forex assumption is very different now. And I think it's supported towards the higher profitability. So how much of the FX is being factored in for the forecast for the full year? And does it affect to change your assumption for the full year since the beginning?
Takayuki Yokota: Overall, our target is the full year growth target of 11% to JPY60 billion, we haven't changed that target. However, there is a downside risk for the travel segment. And in the first half, Travel Retail was minus 4% in Q1 -- minus 4%; Q2, minus 4%. And so together, minus 8%. And so our original assumption was flat and therefore, the majority of this comes from the delay in recovery of Chinese travelers to South Korea than expected. And also since June, there's the stronger restriction in Hainan Island and the [sale] which was doing well so far was decelerated, lost the speed. Therefore, the downside risks will still remain in regards to these areas. And in any case, our first aim was the 20% growth in the travel retail. So the numbers for the Travel Retail has now become really tough. And now in order to -- what's offsetting that is the good business in the EMEA region, namely the Americas and Europe and also China in Travel Retail, so the downside risk basically is offset by the Mainland China consumption because we had a good sales and the 618 as well which should make up for the losses. And also in Japan, we should be able to attain the targeted 16%. And for the local, we should be able to exceed our initial target. And also, there's an inbound consumption in Japan as well, which is doing better. And so we see that more and more Chinese tourists coming back to Japan June, July and August. And so we said that the full year, the inbound will recover by 70%. And at this pace, I'm sure we can achieve target and original assumption. Now for the ForEx, first half was JPY3.5 billion positive impact was made against the plan -- against last year. So the plan -- the budget was flat. And year-on-year, it's JPY3.5 billion. So I think the Forex was JPY130 to the dollar in the first half. I don't think that yen went to that level. The dollar was JPY130 to the dollar. And for January to June, JPY134 to the dollar.
Wakako Sato: So there was hardly any Forex impact?
Takayuki Yokota: Yes, any -- against the plant. So in consideration that the unrealized the result, yes, there was not so much impact.
Wakako Sato: That's clear.
Takayuki Yokota: Next question, please.
Unidentified Company Representative: In the front row with the black jacket.
Mitsuko Miyasako: From Jefferies. My name is Miyasako. So Q2, China grew. But what initiative, what really drove that, do you think? And how do you see the market right now? And how should we look at next year. So I think the profitability was quite good, but much better than what was planned. So this profitability could continue -- would it continue? How do you see this?
Takayuki Yokota: In Q2, we had the lockdown. So yes, I mean, year-on-year basis, it will look very high. Yes, much higher than what was expected. One thing is in the brick-and-mortar physical stores, exceeded expectations and good performance. And we did have the 618 big promotion. But before that, we had the marketing activities, the brand equity investments and things that we had planned even before the 618 promotion. So as a result of that, one thing to say is the brick-and-mortar, the physical stores performed well, and especially the higher priced range, premium price range, Cle de Peau Beaute, brand Shiseido's future solution has captured great performance. So those were the areas where the strategy and the actual performance align with each other. Another point to mention is for 618 promotion. Looking at we were trying to suppress the size of the promotion, not making it too big. But as a result, in result, 618 promotion was very good. What we do need to be careful of is the customer -- consumer traffic tends to go to the top KOL. And that's something that we can't really do anything about. On the other hand, when there's a big promotion or there are consumers that are waiting for these top KOLs. So what we are trying to do the consumers that we acquire, how do we link it to the next behavior, next purchase through CRM, which will maximize our investments, too. So for second half of the year, we want to continue to evolve the activities and initiatives that we have been running.
Mitsuko Miyasako: The sustainability of your profitability, how do you see that?
Takayuki Yokota: In terms of China?
Mitsuko Miyasako: Yes.
Takayuki Yokota: Sustainability. The target, we had a target of improving by 5 points that has been the target in the next three years to improve by 5 points. So as for that, that's something that we believe can be achieved. I think you have -- in just looking at the first quarter, there's like a 10%. So in the Q2, sorry, the profit for Q2 for China is close to 10%. I feel the profitability is close to 10%, quite high. So I feel like it is far exceeding your expectation. Yes, for first half specific, yes. But for second half, it's going to change. It's about the promotion -- timing of the promotion and when we have marketing investments and costs to spend. So the first half, yes, it was -- had exceeded what we had expected or forecasted. So yes, there is that excess for the first half. Looking for second half, there will be Double 11, for example, which is a big promotion. And so that will allow us to surely capture the sales. And if we can continue to execute what we want, the sales go up and the bottom line will follow. Along with that, in China, there will be indirect procurement, logistic costs and there are areas such as those where we will do capture savings. And therefore, we will be able to invest in brand building so that we can continue to have the profitability.
Kentaro Fujiwara: Can I have a comment in terms of the water contamination, we don't see any impacts to the performance right now. Right now, we're not seeing much impact of this water release of the Fukushima, we don't see any impact to the business performance of the water -- contaminated water release of Fukushima. We're doing online monitoring and such; but of course, with yes, we see these kind of news online. And if that the news on the media gets bigger and bigger, then we may need to make some different timings for promotions, et cetera. So it's something we do watch and this other thing might have to do with profitability, but the brick and mortar, the physical stores have been performing well. And that really contributes to the profitability. So these kind of evaluation, these kind of reputation impacts can be big, but brick-and-mortar the physical stores are not necessarily that impacted by these kind of reputation damages. So we believe that if we can continue to work on things that we need to -- we should not have any damage to that.
Shima Yamanaka: Yamanaka from Mitsui and SMBC. And so China, on the 12th of June. So there was a test drive for the 618. I believe that I heard that there was a return of some products. And what is the impact of that return? And also actually peaked out on the 15th of June. And what about the impact of that? I hear that the brick-and-mortar and EC performed well. But then the Hainan Island and South Korea, there was some impact. I would like to know the impact breakdown.
Takayuki Yokota: So I think there was a crisscrossing concept. So for your first question is about the return. How significant was the impact of return during the 618. And what was the point. Well, I would not mention specific numbers, but then it was higher return, was a little higher than usual. But in comparison to the market in general, it was about the same level as the market in general in terms of the market return, right? So this is not something that is affected by the external impacts. But then let me add about the return products. And for instance, this time, [PMall] did its own promotion such as issuing coupons. And by reserving the coupon by putting the coupon in the shopping basket, and you can actually accrue the coupon and you can use it for shopping elsewhere. So it is not a related release of the treated water. So basically, the percentage went up due to the retailer -- the promotion. So it is not directly linked to the release of the treated water, we don't think. So basically, the impact of the released water matter is very limited and also now there will be the actual release, and there may be some news, which may be propaganda. So basically, locally, then maybe feel that there's no significant impact. We keep a close eye on the -- what's on the Internet and the SNS. And so accordingly, we will be flexible to adapt our communication and promotional methods. So we will continue our activity on that.
Shima Yamanaka: And last question about this JPY10 billion upward shift. And so how is it going to be materialized effectively in the second half? So you mean the global JPY10 billion upward shift, so how much is it going to affect the outside of the term?
Unidentified Company Representative: Okay. The next question, please.
Hisae Kawamoto: From UBS, my name is Kawamoto. Thank you very much for your presentation today. The Japan structural reform that you had presented today. I was very happy to hear that presentation. However, looking at the past couple of years, I believe that the company has worked to reduce the fixed costs. So what is going to be different now? And now even for the first half, I think the inbound has gone up. So I believe that the skin care with high profitability grew and thus, I'm assuming that gross margin is better in Japan, but yet still minus in Japan, what is going on. And the JPY50 billion that you want to aim at by 2025, what kind of number should we look assume in 2024? And -- or do you have plans to reduce the number of brands have any specific numbers for the plants, I would love to hear that. Inbound, I think the margin was about 20%. But compared to that time and compared to now, the local demand in Japan has been the difference and what kind of actions will you be taking?
Kentaro Fujiwara: Maybe I will start with the -- I will have Yokota talk about the inbound forecast after this. But for the fixed cost reduction, yes, like you said, we have been working on it previously as well. And therefore, that's why we're finally starting to see the reduction of fixed costs helping and contributing to the improvement in profitability. And what I am thinking is to further accelerate the fix cost reduction or to be even more bold, take bolder measures for fixed cost reduction. And that was the point of my presentation. And yes, it is true, we as a company has continued to work on reducing the fixed cost. But as we look at the Japanese market, the Japan business market going forward, it's not something that we can be very optimistic about. And furthermore, we do need to improve the profitability without relying on the inbound. And that's another thing that we need to think about for Japan business. In order to do so, we do need to take a further bolder step to do the reform. And that is why I had made my presentation today. Okay, about inbound.
Takayuki Yokota: So the current situation that Japan is still negative. Why is that? Inbound is starting to grow again. So I believe that the higher profitable brands are growing. And yet Japan business still has negative what is causing this negative in inbounds coming back. When you look at the sales versus 2019, it is recovering, but having said that, when you look at the first half, it's minus 31% versus 2019. So we're still losing about 30% of the sales. In terms of the inbound, it has gone back by about plus 30%. But having said that, when you compare it versus 2019 first half, it's still minus 60% compared to the first half of 2019. So along with that, as Fujiwara-san has just mentioned, the fixed cost, the heavy fixed cost and the organization becoming more complex and more incremental digital cost. And these are the things that kind of come together to build the numbers that we have in Japan right now.
Unidentified Company Representative: Any other questions? Then we would like to then take questions from the online participants. Let me read out the question. In Japan, in regards to the reform -- the structural reform, what is the cost for it and -- and what is to the scale of the impact for the fiscal year 2025? Out of many initiatives in what time period do you think you can complete the structural reform? And what about the initiatives that you will be starting already in fiscal year 2023. What are they? So but the structural reform necessary cost for the sense of scale and also the time frame, and when will you start and when will you complete?
Takayuki Yokota: Now the cost necessary for structural reform will be specifically calculated according to individual task and sum them up. And so today, I will not be able to give you one rounded up number. However, structural reform, I think sense of speed is the most important aspect. So I may be repeating myself, but JPY50 billion profit in 2025 is the target. So according to initiatives that will be started next fiscal year, and some of the initiatives may wait until 2025. So in regards to the structural reform itself and initiatives associated with it will be made more specific going forward.
Unidentified Company Representative: And there's one more question online. The first half of the Japan segment, first half performance of the Japan segment, according to the CFO was better than what the internal forecast was. And within that, the President feel like have decided to -- is determined to do the reform. So where is the gap? Was it that the first half could have been better in terms of sales or profit?
Kentaro Fujiwara: So yes, the first half had -- we are improving. But yes, there are areas of improvement that we can obviously capture. Of course, versus last year, the profitability, the profit ratio is improving significantly, but even with the business performance right now, we still have negative performance in Japan, and which means that we need another step, a further step to make a reform -- to do the reform is where my determination came from. We are doing various structural reforms. And if we continue to do what we're doing, of course, I believe that profit will improve. But as we continue to grow, we need to improve the profit. And that's can be achieved just by cost cutting. There needs to be a business model transformation or furthermore, touch into the areas, which we have not touched upon in the past. And that's something we need to work on to create the business model that is profitable from 2025 and onwards. The Japan business due to our -- Japan business is a very important market for us, even within our global presence. So we need to improve the profitability. And even with the -- as we improve the profitability, we need to create new value and continue to grow. And I want to make sure we can make the company stronger so that we can make it to the next level. And that's why I had made the determination for the reform.
Unidentified Company Representative: One more question from the venue, Matthew from CLSA. About the e-commerce in Japan. I would like to ask a question. At the moment, 10% to 30%, so it grew by 3x. I think the number should be good. But then from the brand perspective, what is the brand that is most popular in EC. So what is the brand strategy for EC?
Takayuki Yokota: One of the things we do is the certainly prestige has good opportunities, in particular, the skin care brands can expect a repeated purchase. So there are more opportunities. Also not so much about the brand, but I myself was a bit surprised recently. The customer -- when we look at the customer generation, there are customers who more than 60 years or older actually watch YouTube, they enjoy SNS and they use e-commerce. And so -- in fact, this was the unattended cohort, so up to now. So when we think about the channel, that we think exists. We may be missing out a lot of opportunities. That's the gut feelings that we have. So we should monitor the purchase behavior of the customers, and also the wider range of the age and generation and also the way they use the digital, and so we should be able to expand on the customer base for EC. Another question.
Yuji Ohana: My name is Ohana from Nomura Securities. I have a question about Travel Retail. If possible, the second half, the increase in profit or improvement in profit, how do you outlook the second half, looking at the Hainan Island, South Korea restrictions, to what level will this restriction continue or how do you forecast it. So next year and the year after, as you try to improve the OP margin by 3%. Travel Retail, in terms of the profitability, I believe, has a high profitability ratio. So China and Japan -- so can China and Japan growth offset or cover up for all the Travel Retail. So I just would like to further detailed comment around Travel Retail.
Takayuki Yokota: For South Korea and Hainan Island sellout, Q2 and first half, the gap is about 10 points. Sell-in and sellout at the same level behind. So in the second half, for South Korea, we believe it will continue for another two to three months. For Hainan Island in June, the impact happened -- started happening in June. And please give me a moment. Please wait. In June, for Hainan Island, decline of high-teen percentage for sellout. So there's been some inventory adjustments. How would that proceed? Will that be over the next three months, or will that be prolonged a bit longer than that? That's something that we're not sure at the moment, but we need to watch cautiously.
Yuji Ohana: Inventory adjustments as you proceed with the inventory adjustments. Will Travel Retail go back to the double-digit growth as before, or will these kind of restrictions continue? So the sell-out itself should be a declining trend. How do you forecast this?
Takayuki Yokota: As for Hainan, if I can comment on Hainan Island specifically, on the year to date basis, people traveling to Hainan Island by airplane is going -- is increasing by about 100% year-on-year. Actually, flew there in June myself. June is a low season, even though June is a low season, the high-end retailers are investing significantly, and it is becoming a place for domestic travel for the people. So I believe that in the mid- to longer term, I'm quite optimistic in terms of the business opportunities in Hainan Island. So if that is the case, so if it's going to be in the next few months or maybe 6 months or so, but you think it would kind of do a full circle within the year and that this is not something really worry about for next fiscal year. And that is what we think, we think it will recover. As for this year -- as for this year, if I could call it, the channel. But what's most important is that the Chinese consumers -- what's important is that we have the products that can meet the demands of the Chinese consumers. And we have been doing that communication mainly in the Mainland China. So from there, we want to grasp and capture the needs of the Chinese consumers and turn it into its purchases. And if we can do that, we can expect for upside in the Mainland, too. So yes, temporarily, there is the inventory adjustment impact in these travel retail areas.
Unidentified Company Representative: One more question from online participants. And later, there will be announcement on Chief People Officer. What do you expect out of this role?
Takayuki Yokota: So at a later date, announcement on the Chief People Officer. And one thing in relation to the perform in Japan, we expect that there will be a substantial reform on the culture and also the execution of the initiatives that are must for us. And in addition to HR in Japan, there will be significant support by the global headquarters as well. So I would like this Chief People's Officer, to be part of the reform drivers. And so myself, Chief People Officer, Chief Marketing Officer, who will lead the way, concerning our strength across the company.
Unidentified Company Representative: Now next question will be the last question. The person in the gray jacket.
Wakako Sato: This is my second question from Mitsubishi. My name is Sato. I actually wanted to ask this question the first time around. In Japan, Chairman, we'll be -- you will be taking place, Mr. Fujiwara as Chairman. Now Tadakawa is President of Japan business, and I'm sure you're not saying that Tadakawa-san is not doing a good job. But as a result of Fujiwara-san becoming the Chairman of Japan business, I understood your presentation, but what will change? And how should we understand or interpret it? And looking at your background, your -- you've been overseas. You've been very international. So as a result of Mr. Fujiwara becoming the Chairman of the Japan business, will you be taking the position so that if you -- because you have the authority, if you make people movements, it will be more convincing or working with the drug stores, the retail shares, well, you transfer the business, so you're reducing some of the sales side in drugstores. But because the Chairman saying it, you'll get more shelves in the drugstores. For example, so what is going to change specifically as a result of Mr. Fujiwara becoming Chairman of the Japan business?
Takayuki Yokota: Yes. Mr. Tadakawa -- we are greatly appreciative of how -- what a great job he has done for the Japan business. As one big perspective to mention is, I am the COO of the overall Shiseido Group, and as a group COO, I have very strong emphasis on the importance of the Japan business as Shiseido as a global company and also feel the sense of urgency. And through all the discussions that we've had internally. And because I have done a lot of my business background in the international field, what's normal in Japan is actually not necessarily a normal practice. For example, why is Japan business so focused on this. Why are they not doing this? And I think because of my international experience, I can see it better maybe, it gives me a better or different perspective. And I spoke in the front of my -- at the beginning of my presentation, because Shiseido has such a long history, I think there are perspectives that are missing or that is unseen. And so yes, I myself have been with Shiseido Company for a very long time, but because I have been overseas a lot of my years, what is normal in the Japan business rules or the way we do the business, maybe it's not matching the consumers or the business practice now. And there are areas that we're seeing this. And then of course, there are things that are isn't matching the modern times internationally, too. But so from that kind of new perspective, I believe that the speed of innovation or the reform and execution speed. That is something that I believe that I can -- if I can say so myself, I can contribute to the speed of these reforms for the Japan business.
Unidentified Company Representative: Thank you very much. Now I would like to wrap the Q&A session. With this, we would like to close our presentation today. We will have a questionnaire survey for you from the IR division. We would like to continue to enhance and improve our IR activities, so we would love your feedback. Thank you very much for your support in advance. Once again, thank you very much for your participation today out of your busy schedules. Thank you.